Operator: Good morning, ladies and gentlemen. Welcome to BCE's Second Quarter 2012 Results Conference Call. I would now like to turn the meeting over to Mr. Thane Fotopoulos. Please go ahead, sir.
Thane Fotopoulos: Thank you, Dave, and good morning to everybody on the call this morning. As usual, with me today, I have George Cope, Bell's President and CEO; as well as Siim Vanaselja, our CFO. Earlier this morning, we issued our second quarter results. The news release -- or Q2 supplementary financial information package and our slide presentation are all available on our corporate website. And following a review of the slide presentation by Siim and George, we'll move to the Q&A period and answer as many of your questions as time permits. However, as usual, before we begin, as I do every quarter, I want to remind you that today's remarks will contain certain forward-looking statements with respect to items such as revenue, EBITDA, adjusted EPS, free cash flow and capital intensity. Several assumptions were made by us in preparing these forward-looking statements, and there are risks that our actual results will differ materially from those contemplated by our forward-looking statements. For additional information on such risks and assumptions, please consult BCE's 2011 annual MD&A as updated on BCE's 2012 Q1 and Q2 MD&As and BCE's press release dated August 8, 2012, announcing our financial results for the second quarter of 2012, all of which are all filed with the Canadian Securities Commission and with the SEC and which are also available on our corporate website. Any forward-looking statements today represent BCE's expectations as of today and accordingly are subject to change after such time. Except as may be required by Canadian securities laws, we do not undertake any obligation to update or revise any forward-looking statement whether as a result of new information, future events or otherwise. And I'm making this cautionary statement on behalf of both George and Siim, whose remarks today will contain forward-looking statements. So with that, I'll turn it over to George.
George A. Cope: Great. Thank you, Thane. Good morning, everyone. Thank you for joining us this morning. Great start to the morning. As everyone hopefully knows, Canada won 2 medals this morning, so we're off to a great start in London this morning. Let me turn though to our business results. We are clearly very pleased this quarter with the growth in Wireless, Fibe TV and Bell Media and importantly, the industry-leading expense management across the company. The growth segments and operating expense reductions drove excellent EBITDA margin improvement, strong EBITDA and EPS results, enabling the company to announce today an early dividend increase of $0.10 per share effective October 15. Let's turn to the results, and I'm on to Page 5. On the Wireless side, very strong quarter. Postpaid net adds up to 102,000, up 8% year-over-year. Importantly, on strategy seen growth in our business net adds and our strategy of Western expansion obviously starting to show traction, with net adds up year-over-year there as well. We had our best quarter from a postpaid churn perspective than we've had over the last 9 quarters, and we continue to see that improve as the service improvements put in place by John Watson are making a significant impact on both our operating cost and our churn levels. Data revenue growth of 31% was again excellent this quarter. And importantly, our LTE network build continues to take place across the company -- the country with approximately 50% in the population now covered. And I have to mention the video services we're seeing off of LTE and off our HSPA+ network continue to grow. And just a couple of stats I thought of interest. We believe sometime by the end of this week at the end of the Olympics, we will actually surpass 500,000 Mobile TV customers. It's a very unique model. We're charging $5 for 10 hours of viewership. And interestingly during the Olympics, we're seeing about 90,000 video streams a day on our Mobile TV service. And so we continue to see that grow and obviously a very event-driven video service but one that we anticipated would grow, and we're certainly seeing those benefits across our Wireless business. If we turn to the next page, all the metrics moving in the right direction. Importantly, of course, the EBITDA growth and the margin expansion to 44.6% of service EBITDA margin, and we're able to do that at the same time as we're able to increase our cost of retention from 9.1% to 9.8% of revenue, getting close to being in line with our peers and with our objective of trying to keep the retention cost at around 10% of service revenue. The growth in ARPU continued for the 10th consecutive quarter as we're continuing to benefit from the adoption of smartphone and our focus on the business segment and other geographies in Canada that I already mentioned. Also in the quarter, we're pleased that our cost of acquisition reduced year-over-year. So all those combined provided the company to be in a position to have its best quarter from a EBITDA perspective in the last 8 years on the Wireless side. Turning to Wireline data. Fibe TV, very pleased with the 38,000 net adds. 90% of our Fibe TV customers are now taking 3 products. Québec City is ahead of plan from where we had thought it would be with the launch of fibre and the IPTV footprint now at 2.4 million homes past. And at the end of the year, as we'd said, we anticipate being at about 3.3 million homes past. On the Internet side, really quite frankly, softer than we wanted to be and really mixed results. What we're seeing is where we have IPTV footprint, we're seeing quite positive net adds on the Internet side and where we don't have IPTV footprint is where we are seeing the impact, particularly where there would be DSL and the churn can be quite high there. We anticipate with the expansion of the IPTV footprint from 2.4 million to 3.3 million that, that will address the Internet issue that we have, which will obviously pull through additional revenue and further expansion of the IPTV footprint in 2013, which we'll talk about in our call later this year. On the other side of the Internet where it is particularly aggressive is in Southern Ontario, where our cable competitors continues to offer 50% off for 12 months of service, and we think that's having some impact as well. But by and large, given the numbers we're seeing where we have IPTV, we know what the solution is and we're just going to drive that through IPTV footprint. On the data revenue side, the residential TV business, the growth in Fibe TV driving revenue growth from a data perspective, we actually saw an increase in IP connectivity revenue as well and not a bad quarter for our B2B side in the company. And strategically, as I think everyone knows, we are now partnering with a number of private equity investors in an acquisition of Q9 that positions us as a leader in the fast-growing market on the hosting and cloud computing side. More to follow on that a little later as we close that transaction in the fourth quarter of 2012. On the Wireline voice side, if you exclude the wholesale customer that came on last year, our core consumer business actually saw a reduction in the number of NAS losses of about 17,000. So it's 82,000, a reduction there, so 17,000 improvement year-over-year. On the business side, a slight increase but part of that, of course, is driven by migrations to IP. So overall, a 12,000 improvement, excluding the wholesale subscribers of a year ago. And it's certainly, I believe, the right way to look at because the wholesale revenue quite frankly from that base was almost -- was quite negligible. Turning to Bell Media. As with the rest of the media industry, we clearly were impacted by the softer advertising market in the second quarter. But due to some really strong cost management, some synergies that we've had across all of Bell in the area of corporate overheads, et cetera, and reaching the agreements with all the BDUs for the specialty sports rates of TSN and RDS, we were able to achieve EBITDA growth of 23% in the quarter. Importantly, we continue to be a leader in the broadcast area and obviously are extremely proud of our staff that's working day and night at the Olympics in London today. I just want to give an update on the Astral transaction, particularly given the misleading and not factual statements by some cable competitors yesterday in the newspaper. Just want to clarify for everyone where we are. We fully anticipate the transaction to close in the fourth quarter. The thresholds for market share that the CRTC has established are 35%. With the acquisition of Astral combined with Bell, we will be at 24% of French language in Québec. In fact, that will be less than Québec or the company yesterday that was claiming that we were going to be too large in Québec. So we're well under that threshold. And from an English perspective, 33.5%. We're under the 35% threshold and also pretty close in line with the Shaw, Corus. And people will note Shaw controls Corus at approximately 30%. We do have to look at the divestitures on radio, and we will be -- we propose to do that to stay in line with the CRTC regulation. So we will be selling 5 radio stations in 5 markets to meet that policy and so -- sorry, 10. Yes, you're right. 10 radio stations in 5 markets to meet that policy. And as I want to conclude here for investors, we are very confident this transaction will close. We are meeting all the CRTC requirements. And clearly, we looked at those requirements from a market share perspective prior to making this acquisition, and we find it's ironic that one of our competitor who has a largest market share in Québec is somehow concerned now they're going to have competition, which is always good, of course, for the consumer. Turning to the next page. In summary, I think a tremendous quarter for Bell. As a result, we are moving forward with an early dividend increase. We will be comfortably within the midpoint of our adjusted EPS policy and free cash flow policy range of 65% to 75%. And as I mentioned and we have said before, the Astral acquisition will also be accretive to cash flow and earnings in 2013. With that, let me turn over to Siim. Thanks, everyone.
Siim A. Vanaselja: Thanks, George, and good morning to everyone on the call. I'll begin on Slide 13 with a summary of our overall financial results for the quarter. I'd say our operational execution in the second quarter was very solid across the company, resulting in quite robust overall financial performance. By way of the highlights, Wireless delivered an exceptional financial quarter, posting industry-best EBITDA growth of 21%, while Bell Media led the industry with 24% higher year-over-year EBITDA on positive revenue growth notwithstanding a soft advertising market. And Bell Wireline saw steady growth in market demand for Fibe TV, fewer retail residential line losses and slowing year-over-year revenue and EBITDA declines in business markets. Total Bell revenues were largely level compared to the second quarter last year. That comprised of revenue growth of 6.7% at Bell Wireless and 0.9% growth at Bell Media, offset by a 3.9% decrease at Bell Wireline. Total Bell EBITDA increased 3.7% in the quarter, reflecting a strong contribution from our Wireless and Media segments and a 3.1% overall reduction in total operating expenses. Bell's margin improved nicely by 1.6% to 39.5% overall this quarter. In our highly competitive markets, we continue to exercise good spending and pricing discipline across customer segments. CapEx spending stepped up in the quarter as we continued to roll out broadband fibre to homes and businesses expanded our IPTV footprint. Our new LTE wireless network should be built out to cover most urban markets across Canada by the end of the year. On adjusted EPS, we saw an increase of 18.6% over last year to $1.02 per share. In addition to higher EBITDA, adjusted EPS was higher as a result of tax provision adjustments on the favorable settlement of tax matters with the CRA. Those tax adjustments added $0.15 of EPS in the quarter, which is $0.12 per share higher than last year. Similarly, BCE statutory EPS for the quarter was $1 per share, up from $0.76 per share last year. Our statutory EPS benefited from a $164 million nonrecurring charge, which was recorded in the second quarter of last year for the CRTC benefits obligation in respect to the CTV acquisition. And finally, from a free cash flow point of view for the quarter, it was $804 million, $377 million higher year-over-year. That's a strong result that adds to our healthy liquidity position. Growth in year-over-year free cash flow reflects improvement in our working capital position, which in the second quarter of 2011 was impacted by delayed receivables collections caused by the Canada Post strike. So let me now turn to each of our operating segments in a bit more detail. As you see on Slide 14, Bell Wireless continued a strong upward financial trajectory this quarter, with revenues increasing 6.7% on 8.5% postpaid revenue growth. Wireless ARPU grew 4.5%, representing a 10th consecutive quarter of year-over-year improvement. As George commented, this reflects an increased mix of postpaid customers and higher ARPU geographies, a higher market share of business customers and increased smartphone penetration, all of which contributed to data revenue growth of 31% in the quarter. Our smartphone customer base now represents 55% of postpaid subscribers, which is up from 38% a year ago. Wireless product revenues were 7.6% higher this quarter. That reflects an increased sales mix of more expensive smartphones and superphones. Exceptional Wireless EBITDA growth of 20.9% this quarter yielded a revenue flow-through to EBITDA of over 100%. Wireless operating costs declined 1.3%. We spent more year-over-year on customer retention and upgrades but also showed more discipline on device subsidization for new customer acquisitions. The improved flow-through resulted in good year-over-year margin improvement of 5.4 percentage points to 44.6%. And I'd say even after taking into account $12 million of nonrecurring costs in the second quarter last year, you may recall those were from the settlement adjustments we made with other carriers, as well as a provision for a class action lawsuit on early termination fees. But even normalizing for those, Wireless EBITDA growth was a strong 18% year-over-year, which is our strongest performance in the past 5 years. In the Wireline segment on Slide 15, the pace of voice revenue decline increased this quarter due to ongoing promotional price discounting on residential bundles and continued NAS and LD erosion and as well continued repricing of connectivity services in our business markets. The increased LD erosion reflects the strong sales of global long-distance minutes that we generated in 2011. The second quarter rate of decline in LD revenues, however, has remained relatively stable compared to the first quarter of this year. Our Wireline data revenues were steady year-over-year, driven by growth of Fibe TV and Fibe Internet, as well as higher IP broadband connectivity revenues and increased data product sales in business markets. Business access line losses in the SMB customer segment also showed year-over-year improvement. While overall Wireline EBITDA decreased, we maintained margins at about 40%, and that was supported by a 2.5% improvement in our Wireline operating expenses from continued cost management and productivity initiatives, particularly including the labor reductions, which we undertook in the second half of 2011. Moving to Bell Media. Overall, I'd say a very good set of results that were the best in the Canadian media industry this quarter, both financially and in terms of TV audience ratings and viewership levels. Subscriber fee revenues grew a healthy 22% year-over-year, driven by higher specialty sports programming rates, which we put through with broadcast distributors. Subsequent to the end of the quarter, we concluded new agreements now with all the remaining BDUs for our specialty channel rate increases, and that's going to support Bell Media's revenue growth trajectory in the second half of the year. Consistent with the results reported by other Canadian media operators in the quarter, we saw advertising revenues down 7.8% year-over-year. Advertising demand, particularly in conventional TV, remains soft across most industry sectors. Additionally, advertising revenue in the second quarter of last year benefited from strong NHL hockey playoff ratings, the federal election and CTV's coverage of the royal wedding. Bell Media EBITDA increased 23.6% year-over-year on solid overall revenue growth and operating expense efficiencies. So overall, Bell Media continues to perform very, very well. Adjusted EPS for the quarter was ahead of our plan, increasing $0.16 year-over-year to $1.02 per share. Tax adjustments, as I commented, amounted to $0.15 per share this quarter or $0.12 higher than last year. So on a year-to-date basis, our tax adjustments have contributed now $0.18 of EPS, and that's ahead of our guidance range of $0.10 to $0.15 per share that we provided at the beginning of this year. At this time, there are no further settlements on the tax side that we would project for the remainder of 2012. And therefore, our effective tax rate for both the third quarter and fourth quarter should be in line with our statutory tax rate of 26.6%. On a full year basis, that would result in an average effective tax rate for 2012 of about 22%, down just slightly from our previous guidance of 23%. Excluding tax adjustments, our adjusted EPS growth in the second quarter was still strong, increasing about 5% year-over-year, and higher EBITDA accounted for $0.06 of EPS growth this quarter. And on a year-to-date basis, our adjusted EPS was up 12% over last year. Slide 18 outlines free cash flow, which increased year-over-year to $804 million. Cash generation increased in a number of areas. EBITDA grew. Interest payments decreased slightly. And as I commented, our working capital position improved over last year due to the impact of the postal strike. Our strong cash generation also enabled a higher year-over-year level of capital spending on key strategic priorities. On a year-to-date basis, we've generated free cash flow now of over $1.1 billion, which puts us very comfortably on track with our guidance target of $2.35 billion to $2.5 billion for the full year. And finally, with respect to our balance sheet, one notable development in the quarter was our $1 billion 7-year medium term note issue. We capitalized on the low interest rate environment and were able to achieve a coupon of 3.35%. That's our lowest financing rate in 60 years, and those debt proceeds, of course, will be applied towards the closing of the Astral acquisition, which, as George said, is targeted for the fourth quarter. On Slide 19, to wrap up, we see continued good operating momentum taking us forward for the remainder of the year, and we remain confident in our ability to execute our strategy and grow our overall business. On revenues, we're tracking toward the lower range of guidance but with a continued strong contribution from Wireless and Media and importantly, an improving Wireline trajectory in the second half of the year. EBITDA is tracking to the higher end of our guidance, driven by Wireless and Media and improving Wireline profitability. As a result of the higher-than-expected level of tax adjustments that we've seen this quarter, we are updating our earnings guidance to reflect the revised effective tax rate of about 22%. So we now expect adjusted EPS to be in the range of $3.15 to $3.20 per share, up from our previous guidance and supporting today's announced $0.10 dividend increase. That maintains our 2012 dividend payout ratio at the midpoint of our new adjusted EPS guidance range. And I'd say also providing support for the early dividend increase is our pending acquisition of Astral, which is on track to close in the fourth quarter and which should be accretive to overall earnings and free cash flow next year. Our free cash flow outlook is unchanged, but I would highlight that it does take into account an acceleration of capital spending versus the plan that we had through the second half of the year, and that's all about furthering the pace of our broadband fibre and IPTV deployment. So we have good financial flexibility to do that, given the strong cash generation year-to-date and what we expect through the end of the year. Now the heavier year-over-year capital spending will put some pressure on our overall capital intensity. So our full year 2012 capital intensity will be at 16%, if not a touch above. And with those comments, I'll turn the call back to Thane and the operator to open the Q&A session.
Thane Fotopoulos: Thanks, Siim. [Operator Instructions] So on that note, Dave, we're ready to begin.
Operator: [Operator Instructions] The first question is from Maher Yaghi with Desjardins.
Maher Yaghi - Desjardins Securities Inc., Research Division: I just wanted to go back to a comment that Siim made earlier regarding your debt refinancing over the past few years. Now we have seen interest costs continue to be low. And over the last few years, you have significantly reduced your debt burden in terms of interest cost. On a more strategic basis, can you discuss what the impact of this reduced cost of capital has had on your profitability and your decision to deploy CapEx in your business? More specifically, can you comment on what you're seeing in recent trends in terms of return on invested capital and the difference between ROIC and your weighted average cost of capital? Has it been improving or decreasing over the last few years?
Siim A. Vanaselja: Sure, sure. Well, certainly, with the declining interest rate environment that we've been in, in a number of years now and the lower volatility in BCE share price, there's certainly been a reduction in our cost of debt and overall cost of capital, which has helped us. We have a lot of balance sheet financial flexibility and strong stability in the ratings category that both our debt and commercial paper is rated at, so that's really in no way a constraint in executing on our capital investment plans. The way we're thinking about our capital expenditures is -- strategically, it's a priority for us to continue to execute and complete our fibre build-out and to penetrate IPTV into as many homes in our targeted territories as quickly as possible. With the results that we have this quarter, we're comfortable moving forward on an accelerated basis in order that we can begin generating attractive returns on those investments. For all of these significant projects, there's very extensive plans that we have in place and sensitivity analysis. I'm not going to get into the details of that, but I can assure you that the rates of return are very rewarding to us and significantly exceed the cost of capital that we would use as a gauge to measure them.
Maher Yaghi - Desjardins Securities Inc., Research Division: Okay. And just to follow up on your TV net adds. There's about a 12,000 difference between net activations on Fibe and your net TV numbers. Can you may be split the difference in terms of how much is cannibalization of your satellite business and how much is just pure losses?
George A. Cope: Well, what I'd say there's -- on the satellite side, there's -- I think Bell Line also, I think, kind of have about 13,000 or 14,000 net adds on the Fibe side, so consolidated in BCE did somewhere roughly 50,000. There's definitely some cannibalization, as I talked about last time. In our shop, it can be 15% of the number. And then, of course, we even have in the West where some of it would obviously be TELUS doing some with their IPTV. So if you kind of assume from our end in the 15% range, then that's probably a safe number still to use. And we'll just continue to take everyone through that every quarter. There is -- you can see the net impact. We'll work through that because ultimately, the other thing we see early on, as I've said, is remember, people who have Bell TV services, have already all Bell products, are the first ones inclined to take the latest and greatest product that Bell would have. So we think we'll actually continue to see the mix improve over time as well. But having said that, we will see cannibalization satellite from IPTV.
Operator: The next question is from Greg MacDonald with Macquarie Capital.
Gregory W. MacDonald - Macquarie Research: The question is on the dividend. I think it was a surprise to most to see the dividend increase, and so here's the question that I have. I'm wondering if we can categorize this as an early increase for 2012 because I think most people expected sort of the company to fall into a December annual increase. So the question is to what extent is it early? And what's the trigger? Because I think the last time the dividend was increased, as a surprise, people kind of thought CTV, better operating synergy opportunity. Is it the better opportunity with Astral that you're pointing to here as the trigger? Or is there something else in the business that you're feeling more comfortable with? And then I have a quick follow-up on the sales.
George A. Cope: Yes, I think, first of all, you framed it exactly the way we're viewing it. First of all, it is an early dividend increase that would have traditionally happened in December. And it's really happened for 2 very specific reasons: One, we made a commitment to the investment community 5 years ago that our dividend payout would be in a payout range. And when we saw an outlook from an EPS perspective that gave us that flexibility earlier than we anticipated, we would fall through with dividend increases. And so that story is the same over the last 5 years, so that our investors can see a consistent strategy really around that. And secondly, it's 3.7% EBITDA growth, well ahead of the Street, as you all know, in EBITDA growth and our confidence to give guidance today at the high end of our EBITDA growth for the year. So that gives us the confidence on an execution perspective.
Siim A. Vanaselja: I would just add to that, that as always, we assess future dividend increases in the light of our operating performance, our adjusted EPS and free cash flow generation, all of that relative to our payout ratios. And while at this point we're not expecting another dividend increase at the beginning of 2013, those are all factors that we continue to evaluate on a regular basis.
Gregory W. MacDonald - Macquarie Research: And here's the quick follow-up on that then. To what extent can we take some comfort on 2013? Because the top end of the guidance at $3.20, the new dividend is 71%. I know you guys don't want to be going away toward the high end of this target range. So does that mean by definition that you're comfortable on 2013 perhaps being a little higher than consensus is right now?
George A. Cope: Well, we're not going to comment on 2013 guidance here. But I think it's fair to say we already had a consensus on the midpoint of the year on 2012, and that's why the dividend has been increased. We'd really like to come with results in '13. And obviously, everyone on the line, including management here, wants to continue to see progress on EBITDA growth, and that's what's driving -- consolidated EBITDA growth, as everyone knows, is what we focus on, and that's what gives us the flexibility for the dividend increases or not.
Operator: The next question is from Simon Flannery with Morgan Stanley.
Simon Flannery - Morgan Stanley, Research Division: You talked a little bit earlier about the TV business, the cannibalization of the satellite. Talk a little bit more about the Fibe economics, what are you seeing in terms of ARPU? What are you seeing in terms of churn? How are the margins starting to track? And how do you see that evolving? How are things comparing to your initial expectations?
George A. Cope: Actually, we're pretty much on. I mean, one of these we try to remind investors of is because we've been in the TV business for over 10 years. It's the same management team running both TV products. I think our IPTV ARPU is somewhere around the $60 mark. So we're really pleased with that from that perspective. And importantly, as we mentioned, 90% of our Fibe TV customers are taking 3 products. In fact, it's really interesting. In the footprint where we have IPTV, we're actually positive RGUs. So we know it's about growing the IPTV footprint. And as I said, we're going to end 2012 at 3.3 million. Within our capital intensity envelope of 16% next year, you'll see a significant acceleration again of our IPTV footprint, but we'll share that with everyone when we get into the 2013 guidance. Economics from IPTV, this will actually be the peak year of negative EBITDA in that business for us, and that's really because of the synergies across our satellite business. So that should start to help us as we go into '13 a little bit on the Wireline EBITDA side, and so people should see that going forward as well.
Simon Flannery - Morgan Stanley, Research Division: So what's happening to data ARPU? Are people paying $10 or $20 more to get a higher speed if they're migrating from a DSL to a Fibe package?
George A. Cope: Well, what's most important is when they migrate, we get both, right, because they move to a higher Internet speed, which, quite frankly, in the competitive marketplace we're in, particularly in Southern Ontario, can be pretty close to some of the pricing we're seeing on non-Fibe Internet. But where we're seeing obviously the lift is we're picking up a $60 TV sub and getting the triple play obviously will help us with churn overall. And so that's really how we're seeing that. Frankly, we're right on where we wanted to be on IPTV at this point in the year. The footprint's where we want it to be. The economics are where we wanted it to be. And now it's just about trying to accelerate it because everything that we do on IPTV seems to pull some really good numbers on NAS and Internet.
Operator: The next question is from Adam Shine with National Bank Financial.
Adam Shine - National Bank Financial, Inc., Research Division: George, with respect to the, I guess, flattish Internet numbers, you certainly highlighted the sort of DSL churn that occurred outside the IPTV footprint. Was there any issue related to Québec seasonality whereby early in Q3, you sort of picked up some of the incremental Québec losses that might have occurred?
George A. Cope: That always happens in the move season. You're right. There's some of that impact. But frankly, it's -- as I said, it's really 2 impacts. Québec has actually been for us very strong with IPTV and as a result, to pull through the Internet. But the 2 specific challenges are the non-IPTV footprint, and that's quite fixable, so we're addressing it, we're just growing the footprint; and some very aggressive prices in Southern Ontario by one of our operator -- by one of the operators. Those are really the 2 drivers. But quite frankly, we're confident we're on the right track there. And also, we do see the migration when people move to Fibe, the churn rates drop, et cetera. So we're -- as I said, there's one part that was a little softer than we wanted it there but on balance, given the rest of the results, we have a plan to deal with it and we will.
Adam Shine - National Bank Financial, Inc., Research Division: That's great. And maybe for George or Siim for that matter, maybe just comment on the mediations achieved a couple of weeks ago just to round out obviously your remaining BDU contract negotiations.
George A. Cope: Yes. Well, let me -- I'll just comment and say that we're pleased that we've concluded the process through the CRTC. Our preference is always commercial. Settlements we did, by and large, with everyone reached commercial settlements. There were a couple organizations that wanted to go through that process. It's now concluded, and we'll move forward. From a Canadian perspective, there's been a lot of media around this. The rate increases are significantly less than what the sports networks put through in the U.S., but they certainly serve the purpose for us to drive the profitability we need to do in our media assets.
Operator: The next question is from Jeff Fan with Scotiabank.
Jeffrey Fan - Scotiabank Global Banking and Market, Research Division: My question is on the Wireline side, again, going back to the CapEx. I guess, as you sit back now when you look at your Fibe footprint, it looks like numbers around sort of 35% coverage of the overall footprint with Fibe TV. I'm wondering when you look out longer term, given the profile of the Fibe customers and the non-Fibe, what's going on in the non-Fibe footprint, what kind of percentage do you think you need to get to, to sort of stabilize the RGU trends overall and the revenue trends and the EBITDA trends going forward? Because when we look at some of the other North American carriers, you need to have at least 50% plus in Fibe footprint to get there. I'm just wondering if you can provide some insight on that.
George A. Cope: Yes, we'd agree. It will be well north of 50% when we're done, and we'll comment on that in our guidance for 2013. I'd share now, I just think there's no use giving our competitors the heads up on what footprint we're going to do in 2013. But we'll end at 3.3 million at the end of this year, which is 50% coverage. And so at the end of this year, we're at 50% of the footprint. And as we go, we will accelerate in 2013 even further, given exactly your point that the good news we see in all 3 areas of NAS, Internet and IPTV through the footprint just helps continue to drive that from an RGU perspective. And also, of course, as everyone knows, at all greenfields, we're doing fibre, not FTTN. We're doing fibre. And in Québec City where we did fibre, we're seeing our numbers well exceeding our initial expectations. So frankly, from an outlook perspective, I've never felt more positive about our consumer landline business than right now. We have all the pieces of the puzzle in place and now it's driving it. And given that our Wireline margins are well north of any North American Wireline operator, we're seeing the benefits of our cost culture really allowing us to maintain some pretty healthy EBITDA margins in Wireline to make the CapEx investments we need to and stay C to I [ph] free cash flow positive.
Operator: The next question is from Drew McReynolds with RBC.
Drew McReynolds - RBC Capital Markets, LLC, Research Division: Just 2 questions from me. Just back to just the carriage agreements. Can you just big picture provide us what -- compared to the impact in Q2, how indicative this is, that is it of the run rate of all of the carriage agreements that you've done over the past little while? Do we ramp up significantly into the back half of the year? When we get into 2013, does it ramp down? And if I can push you a little bit just in terms of the margin impact of some of these rate increases, to what extent do you expect to recycle that in the programming? My second question just on -- just big picture, George, for you. You talked about postpaid ARPU largely staying in that 60% to 65% range over the last 20 years and going forward. Just wondering if you can just comment on lifetime cash flow per subscriber and what your expectations are for that metric going out the next couple years.
George A. Cope: So we're not into giving granular guidance on each of the business units. I think what I would say is that we're -- in our results over the number of quarters, of course, has been the result of the settlement of all the TSN/RDS rate changes. There really was these 2 remaining. So yes, as I think Siim mentioned, it does have a positive implication for us in the back half of the year, and you'll see that in our consolidated EBITDA numbers. But that's probably as far as I'll go there. And then, again, I just won't talk about 2013 guidance for the company here. So hopefully that's helpful. I apologize if it's being a little too obtuse but frankly, I don't want to get into specific P&Ls of a division. In terms of lifetime value on the Wireless side, I think everyone will know, increasing ARPU, decreasing COA and decreasing churn means the lifetime value of our subs has moved up dramatically over the last 3 years, and we hope to continue to see that. As we just -- we've narrowed the mix. I think at one point, 4 years ago, we were $13 back of the industry on weighted average ARPU, and I think we're down now into a $5 range and narrowing that spread. And really our strategy of footprint and business market focus and making sure that we're at all the top ends of all segments, as well as in the discount markets through Virgin, is really starting to pay off for our shareholders.
Siim A. Vanaselja: Drew, I would just add on your first question, for those last 2 rate increases that were arbitrated by the CRTC, that CRTC decision was rendered on July 20. So we'll begin accruing those increased rates in -- beginning in Q3 going forward. There will be some pickup in the second half of the year.
Operator: The next question is from Glen Campbell with Merrill Lynch.
Glen Campbell - BofA Merrill Lynch, Research Division: On your fibre and the capital intensity, it sounds like you're -- that's ticking up a little bit, and I'm wondering to degree there's a win-win with the union. In other words, if you can devote more labor to building out the fibre, you can keep the workforce more intact and help your margins. Is that the case that we've seen some of the benefit of that in Q2?
George A. Cope: You mean in terms of -- our labor force is growing clearly in the area of Fibe TV. I think over the last 2 years, we've added anywhere from 1,000 to 1,500 resources on the Fibe TV side, on the install side for the home. Of course, we've seen other cost reductions to offset that. And in terms of the labor relations, I think as a result, they've been excellent. By and large, with the union, we have one bumpy road going on in one small area of the company right now. But generally, we've been quite positive because we're adding team members in that area of the business.
Glen Campbell - BofA Merrill Lynch, Research Division: So as you build fibre more quickly, can you essentially shift some of your labor from the OpEx side to the CapEx side?
George A. Cope: You can, but frankly it's disclosed pretty consistent because it's really -- if you look at, Glen, our capital intensity number is still running at 16%. There could be a little bit more labor in it because of the install so you would be right, but it's not moving the needle significantly. And on the capital intensity, I mean, we will be at the approximate 16% number. The reason Siim brings it up is clearly on the revenue side, we've said the lower part of the revenue guidance, we still want execute the same CapEx budget we have for the year, given our strong free cash flow growth.
Glen Campbell - BofA Merrill Lynch, Research Division: Great. And then a quick one on Wireless. We're seeing voice ARPU, the trends are stable or even improving on the sector. Is it your sense that repricing pressure is now easing up on the voice side and that we might be seeing a plateau on Wireless -- on the voice ARPU?
George A. Cope: Yes. I mean, the marketplace has been so incredibly competitive with all the new entrants. It's a hard call. What we continue to see though is the migration to the smartphone is what's driving the incremental ARPU. You are right. It looks like the voice was a little more stable quarter-over-quarter so that would be -- from our perspective, we want that to happen. It's really a reflection of what happens to everyone's sub counts in the quarter going forward. So it's hard to call it a permanent trend. I think our -- we tend to look so much at it, Glen, on a consolidated ARPU number on postpaid, and there's no doubt voice is being substituted in, not just in pricing but in usage as people move their voice usage over to data applications.
Operator: The next question is from Dvai Ghose with Canaccord Genuity.
Dvaipayan Ghose - Canaccord Genuity, Research Division: My question is on the Q9 acquisition, not the strategic rationale, which, I think, is quite obvious, but $1.1 billion is relatively small for a company your size and yet you've decided to partner and take a 30% stake with a 7-year call option. Your leverage even after MLSE, Astral and Q9 seems quite manageable at call it 2.3, 2.4x. So I'm wondering, is it a leverage issue which made you take a minority stake with a call option? And if so, what is your leverage target? And what does that mean for buybacks and future balance sheet-driven acquisitions?
George A. Cope: Yes, great. Thanks, Dvai. I'm glad you brought up Q9. We do think it's a very strategic investment for us. If you look at our balance sheet and what we've been trying to do from a debt perspective, clearly, part of our strategy on the partnership is to reflect a consistent capital market strategy not just for our equity holders, but for our debt holders as well. Secondly, we get an excellent management team who will focus on that in a "private equity" type of scenario. So we think that lends itself to a significant growth opportunity for that management team. And thirdly, more to come. As we said, there'll be some discussion at close as we work towards with these partners finding also satisfaction on the break fee lawsuit that had been outstanding. We'll have more to say on that at close. And so all those things combined made our view that this was the best way to strategically execute that acquisition.
Dvaipayan Ghose - Canaccord Genuity, Research Division: What about in terms of the balance sheet and why you decided not to take the biggest stake?
George A. Cope: Well, basically, I think if you look at where we are with the acquisition of Astral and where we are in terms of where we wanted to keep our debt to EBITDA and MLSE, we thought it would be consistent to fall this capital market strategy on Q9 to be consistent for both the equity and our debt holders. So that's why we pursued that and some other things to follow, which we'll talk about later on at the close of Q9.
Dvaipayan Ghose - Canaccord Genuity, Research Division: And that's okay. Can I ask a quick follow-up on Wireless? Excellent results, people are getting more bullish perhaps on the street when it comes to subsidies, both because of Android challenging the iPhone, which is obviously the mother of all subsidies, as well as more conservative hardware upgrade programs potentially, especially as churn across the incumbency at least seems to be down at least in this quarter. Are you becoming more bullish on the subsidy pressure question?
George A. Cope: I think we've seen it in our COA. Remember, strong Canadian dollar helps all that, but it really is a market share battle on the hardware side. I think there's been some significant rumor around when one of the lead suppliers may bring a product. Every time that comes up, it puts a little more, obviously, subsidy pressure back on. But by and large, I would say, yes, we are pleased. We're certainly not seeing a growth anymore in that dollar subsidy, and we're seeing competitive handsets that are head to head with some of the other iconic brands, and that's helping us on the consumer choice side.
Operator: The next question is from Rob Goff with Byron.
Robert Goff - Byron Capital Markets Ltd., Research Division: My question would be for George. How do you balance the equity markets where they're focused on near-term free cash flow versus the CapEx success to date and your dramatic lower cost of debt that would argue for accelerated CapEx or perhaps a higher CapEx intensity?
George A. Cope: Yes, I mean, I think 2 things. First of all, in the -- a number of things. In the acquisition of Bell Media, the capital intensity of that business is above 5%. We kept our capital intensity though at 16%. So clearly, we upped our capital intensity in the Wireless and Wireline business as a result of that acquisition because Bell Media offers us significant cash flow, and we've been very transparent on that. So arguably, we've increased our intensity on those 2 areas, offset by a mix now that includes Media. That's one thing. Second thing, when we look at AT&T and Verizon and their capital intensity, we're right in line with their capital intensity. And as you go to other parts in the world, we're still a little high in Canada. So we continue to believe that we can execute the consolidated business at 16%, granted helped by the Media business that we've already acquired and further helped by the Astral acquisition because, again, that would be at about 5% capital intensity. Yes, we will run the business consolidated at 16%. So we will take that incremental cash flow from Astral. Part of it will go to free cash flow for dividends for our shareholders, and part of it will go for CapEx to accelerate our IPTV footprint. And you'll see that in 2013.
Operator: The next question is from Peter Rhamey with BMO Capital Markets.
Peter Rhamey - BMO Capital Markets Canada: Two questions, if I may. First, on Wireless EBITDA, very impressive growth, doubling our estimate, but half of that growth is driven by ARPU. So I was hoping to get some additional color. I know you've addressed it already about narrowing the average revenue per user relative to peers from $13 to $5. But what is unique about Bell and its ability to narrow that further? I think there was some previous commentary, George, you gave with regards to the West Québec and enterprises. Hoping you'd be able to elaborate on that.
George A. Cope: Yes, I think it goes back to 5 years ago. But now having a competitive network, competitive handsets, competitive stores, competitive branding, all those pieces, I mean, we should -- with the history we have in the telecom industry, we want to put ourselves back in a leadership position. We started way back in third, and so we've been clawing our way back into a leadership position. The mix of smartphones combined with our focus on the business market, which we weren't as competitive in 4 or 5 years ago because of roaming issues, combined with the strategic growth outside where we had the most -- the strongest market share, which was in Québec from a Wireless perspective, and Québec being one of the lowest ARPU markets in the country, we've been growing proportionally outside Québec, and that obviously helps us grow ARPU as well. All that drives a strategy to continue to try to narrow the gap to our competitors, and we think we will continue to do that over the coming quarters.
Peter Rhamey - BMO Capital Markets Canada: But you've outperformed by a couple hundred basis points in ARPU growth. Is that type of delta sustainable? Or is it harder to perform in that level?
George A. Cope: Well, there's no quarter that gets easier, but I think there is opportunity for us because we have about 55% of our postpaid base on smartphone, still the lowest of the 3. It gives us a -- from an investor perspective, we have 45% of the base to still convert, and they've been ARPU accretive. And of course, now we're playing a leadership position in the net add market where we're really seeing strong business and growth, as we mentioned, some growth in the Western Canada strategy. And our strategy in the West will accelerate because the multiple source stores that we're opening are really now just opening this summer, and that will help us as we go into the fourth quarter.
Peter Rhamey - BMO Capital Markets Canada: I understand that. That's great. Just on the Wireline side, George, you mentioned promotional pressure in Ontario. And I'm wondering whether this is mass market promotional response that you're making or is it more selective both on retention offers you're having to put in place and as well offers you're putting out to customers?
George A. Cope: We've not fully matched in some markets the Internet piece. It's particularly in one market in Southern Ontario where there's been 50% off for 12 months. That has an impact and we've had to -- we've matched it. We think ultimately capital markets discipline those things, so we're quite relaxed with the execution of our strategy.
Operator: The last question is from Phillip Huang with UBS.
Phillip Huang - UBS Investment Bank, Research Division: My question is on Mobile TV, obviously, a big contributor of data growth in the quarter. Surprising a little bit because I thought that it would come a little bit later when LTE handsets become more prevalent. Should we view Mobile TV as a key driver of ARPU data growth going forward? Or was growth this quarter accelerated by, I guess, people signing up in anticipation of the Olympics?
George A. Cope: Data growth has certainly been helped by Mobile TV. But as I said, we're just surpassing 500,000 subs on a base of well north of 6 million in the postpaid area so not significantly moving the needle, but the subscriber numbers are so encouraging. The model in Canada that we think will really haunt us, it's not in your data bucket. So therefore, you don't have to worry about data charges. At $5 for 10 hours, it's intuitive to people that from a mobile application, 10 hours should be enough. From a parent who may have someone younger subscribing to the TV service, that they know the cost can't go beyond $5, we think that will drive adoption. And then we get these levers, these events. And the Olympics, of course, as I mentioned, we're seeing 90,000 streams a day now on Mobile TV. And it's interesting, in Vancouver, just -- what are we, 18 months ago now, I guess, or 30 months ago, we were at 10,000 a day. So we're seeing that acceleration. We also, from the Bell Media side, are selling our content to Vidéotron, who is also moving Mobile TV product. And we're wide open for business from the Bell Media perspective looking for other carriers who want to access that content. I think that can be a great business for Bell Media.
Phillip Huang - UBS Investment Bank, Research Division: Got it. If I could ask a quick follow-up on the Wireline side. Have you seen the cable competitors moderate aggressive offers after the quarter? And also, are you seeing more aggressive offers outside of your Fibe TV footprint versus inside it?
George A. Cope: Well, they're different competitors. Some competitors have a much larger footprint outside of our IPTV footprint, and so we do have to have different pricing strategies depending on who the cable operator is. And it's so different according to who the operators are. I would say there's been one very specific, as I've commented 4 or 5 times on, which are the Internet aggressive pricing in Southern Ontario, but that always flows through, as I said, to the capital markets. And we're relaxed competing with IPTV against that. It's just about -- from an investors perspective, it's about accelerating now the IPTV footprint. We'll be 50% covered at the end of this year, and we will significantly accelerate that in '13. And we'll talk about that in the guidance call.
Thane Fotopoulos: Good. So on that, thank you very much for your participation this morning. I'm available throughout the day for your follow-ups and clarifications. With that, thank you, and have a great day.
Operator: Thank you. The conference call has now ended. Please disconnect your lines at this time. Thank you for your participation.